Operator: Hello, and welcome to CorEnergy's Conference Call to discuss the Fourth Quarter and Full Year 2020 Results. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation.  Please note this conference is being recorded. I would now like to turn the call over to Matt Kreps, Investor Relations for CorEnergy. Please go ahead.
Matt Kreps: Thank you everyone for joining today's CorEnergy Infrastructure Trust conference call. With me today are Dave Schulte, CEO; John Grier, COO; and Robert Waldron, CFO. For those of you joining by telephone, yesterday after the market closed, we published a press release announcing the year-end results and our outlook for 2021 following the acquisition of Crimson Midstream. We have also published a slide deck to accompany today's call, which is available online at the Investor Relations section of corenergy.reit. You can also access a webcast replay on the site typically posted within a couple of hours of the live call's end.
Dave Schulte: Thanks everyone for participating today. While our prepared remarks will briefly review aspects of the 2020 financial year, we believe the past is no longer an appropriate indicator of our opportunities going forward. Following the strategic transaction with Crimson, we now have a much more stable cash flow model from our infrastructure assets. Having stabilized our dividend with more reliable earnings, we believe the execution of our business plan will generate long-term growth opportunities for stockholders. During 2020, the global COVID-19 pandemic created an unprecedented disruption to energy demand simultaneously with a global supply glut. Our company suffered greatly when two of our four legacy tenants stopped honoring their leases, which had survived prior disruptions in 2016. We subsequently exited both of those negatively impacted assets. I should note that through that disruption, our MoGas and Omega assets performed steadily, reflecting their regulated nature and more diverse customer base. And the sustained consistent performance of those assets characterizes our goal in owning infrastructure assets to begin with; long useful lives, stable cash flows, limited commodity price sensitivity at least on a direct basis, and reasonable growth opportunities. While no asset is completely immune to major economic shifts such as we experienced it became increasingly clear that certain characteristics of our assets made for more sustainable and predictable returns in both up and down cycles. Now these challenges were only navigable due to CORR's liquidity profile coming into 2020. Our strategy of relatively low leverage, manageable debt maturities and the cash on our balance sheet gave us time to focus on how to best deploy capital into new and better assets with multiple creditworthy customers and more than one possible use.
John Grier: Thanks, Dave. Those of you who are on the acquisition call will recognize this slide seven detailing the northbound and southern California systems. In total, there are about 2,000 miles of critical pipelines and assets that connect California crude produced in conventional low-decline fields to in-state refineries making California-mandated fuel blends not produced elsewhere. These refineries are designed to run on California crude making the supply we transport on Crimson's pipe the baseload for the refineries and import oil as the swing supplier. Additionally, we believe that local production and transport by pipeline is the most economically efficient and environmentally responsible way of meeting California's energy needs now and into the future of its energy transition. The state has two major refining areas; the San Francisco Bay Area and Los Angeles Basin. Crimson operates one of the pipelines taking crude from the San Joaquin Valley northbound to the Bay Area. Northbound P66 has a pipeline that parallels Crimson that serves their refinery in the Bay Area, which they have announced they will shut down in 2023. We believe that some of that oil will continue to go north to other refiners, but in our pipe instead. Those volumes would represent incremental revenue to our company.
Robert Waldron: Thanks, John. 2020 was a challenging year for CORR. The change in our asset base after the strategic combination with Crimson means that our 2020 financial results are not indicative of our direction and the company. Slide 10 provides a brief summary of our key metrics including the net loss, which is primarily the result of write-downs and impairment charges taken in the COVID-19 pandemic environment. The assets which generate those negative outcomes have been sold creating a new diversified asset base for 2021.
Dave Schulte: Thanks Robert. At CorEnergy, we're also looking at various ways we can do our part in the growing focus on ESG outlined on slide 15. As a midstream energy company, we believe that pipelines are the most economical and safest forms of transportation for energy products, including some of the lowest total transportation impact to the environment as compared with other methods. To maintain this environmental advantage requires a diligent commitment to safety, inspection, and maintenance of our systems. We're also actively engaged in our communities. Internally, we want to be a great employer to work for offering a safe engaging workplace with the opportunity for advancement, competitive pay, and an environment driven by respect and integrity. On governance, we've always worked hard to meet our fiduciary duties and engage in best governance practices. The proposed internalization process is another step in that direction. We've committed to 2021 to not just continue the good things that we are doing, but also to look for additional opportunities and new goals to continue building on our ESG performance. Finishing on slide 16. We are really excited for the year ahead as we build on the new CorEnergy platform. We believe we've established a stable base with internal growth potential as well as optionality to increase our scale and diversification. You can see a number of pathways to achieve prudent long-term growth within our existing assets and commercial opportunities they provide. The decision of insiders to subordinate their position to the common holders provides reassurance to the common dividend and conviction in the plan for CorEnergy as a whole. I'll end with a graphic we've used for years to illustrate the scale of the energy sector and then for the vast opportunity set of infrastructure assets. Our capability to lease or operate opens a larger addressable market, across the energy value chain. The rights-of-way also may be useful in the distribution storage or even production of alternative energy. The hallmark of infrastructure, as an asset class is to utilize scarce hard-to-replicate physical assets, with long-term economic usefulness. We're excited about the potential for CorEnergy to lead within the energy segment of the energy – of the infrastructure asset class. At this time, we'll take a few questions from our covering analysts or institutional stockholders, before closing the call. Operator will you please provide the instructions for Q&A? Thank you everyone.
Operator: At this time, we will be conducting a question-and-answer session.  Our first question is from Barry Oxford of D.A. Davidson. Please state your question.
Barry Oxford: Hey Dave, real quick when you're looking out over the horizon for acquisitions what are you seeing right now in your pipeline as far as characteristics? Are they upstream midstream downstream type of thing? And then what type of gas is -- are those pipelines that you're looking at carrying? 
Dave Schulte: Barry, that's a great question. We have had our head down trying to make sure we got our 10-K filed on a timely basis post combination. However we have started thinking about what's next. And the things that have been suggested to us are very similar to things we've looked at in the past. So there's no new information here. But I'll tell you that it includes assets that have exposure directly to more upstream which we've had before all the way to assets that have more market exposure downstream and which we -- which would have operating characteristics similar to the Crimson assets. We've got opportunities to look at assets that have refined products so post refinery to market, as well as natural gas like MoGas. So we think that we have a chance to really advance our scale now that we have an operating team on our side with an economic interest in creating scale and diversification. And frankly, I think that we've got a better platform today because of a broadening of our opportunity set than we've ever had in the past to consider those options. And so it's up mid and down Barry and with both gas and liquids products. 
Barry Oxford: Okay, great.
John Grier: Barry I've got one add to Dave's answer. We've looked at a couple of things that included renewable natural gas and CO2 as a pipeline. Those are both DoT PHMSA-regulated pipeline. So that's in our wheelhouse. They are very preliminary kinds of discussion. But you asked about what sort of opportunities have been presented to us and that's on the list and certainly things that we're going to look at. 
Barry Oxford: Perfect. I appreciate that color. Last question for me. As you guys are looking at acquisitions is the LLC as far as the capacity fine, or are you guys going to go back and kind of talk to the banks about expanding that capacity? 
Robert Waldron: Sure. I'll take that. We are always looking to optimize capital structure. So whether it's banks or other sources of debt capital we would -- we are in a constant look -- constantly looking at growing the company and so we are constantly looking at expanding our access to capital. So it would include both the banks and other financial institutions. 
Barry Oxford: Okay, perfect. That make sense. Appreciate it, guys.
Dave Schulte: Thanks Barry.
Operator:  There are no more questions at this time. We have reached the end of the question-and-answer session and I will now turn the call over to Dave Schulte for closing remarks. 
Dave Schulte: Thank you all for joining us today as we look forward to an exciting and growth-oriented year in 2021. If you'd like to meet with us at one of the coming investor conference events or arrange a direct one-on-one call, please contact our IR team and we'd be happy to do so. Have a great afternoon. Thank you. 
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.